Operator: Thank you for standing by. My name is Rebecca, and I will be your conference operator today. At this time, I would like to welcome everyone to the WEX Third Quarter 2025 Earnings Call. [Operator Instructions] I would like to turn the call over to Steve Elder. Please begin.
Steven Elder: Thank you, operator, and good morning, everyone. With me today is Melissa Smith, our Chair and CEO; and Jagtar Narula, our CFO. The press release and supplemental materials issued yesterday and a slide deck to walk through prepared remarks have been posted to the Investor Relations section of our website at wexinc.com. A copy of the press release and supplemental materials have been included in an 8-K filed with the SEC yesterday afternoon. As a reminder, we will be discussing non-GAAP metrics, specifically adjusted net income, which we sometimes refer to as ANI, adjusted net income per diluted share, adjusted operating income and related margin as well as adjusted free cash flow during our call. Please see Exhibit 1 of the press release for an explanation and reconciliation of these non-GAAP measures. The company provides revenue guidance on a GAAP basis and earnings guidance on a non-GAAP basis due to the uncertainty and the indeterminate amount of certain elements that are included in reported GAAP earnings. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from these forward-looking statements as a result of various factors, including those discussed in the press release, the supplemental materials and the risk factors identified in the most recently filed annual report on Form 10-K and subsequent quarterly reports on Form 10-Q and other subsequent SEC filings. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. With that, I'll turn the call over to Melissa.
Melissa Smith: Thank you, Steve, and good morning, everyone. We appreciate you joining us. Today, I'll provide an overview of our financial results and then share key takeaways from our annual strategic planning process, which included a deeper assessment of our portfolio and segments. Q3 marked a turning point with acceleration in revenue growth. We're excited about the path ahead and confident in our abilities to deliver sustainable growth in the markets we serve, expand profitability and generate strong free cash flow. I'll start with our third quarter results. I'm pleased to report that we delivered strong performance delivered primarily by the Mobility segment, with both revenue and adjusted EPS exceeding the high end of our guidance range. Revenue for the third quarter was $691.8 million, an increase of 3.9% year-over-year. Excluding the impact of fluctuations in fuel prices and foreign exchange rates, revenue was up 4.4%. This return to growth reflects the actions we've taken over the past few quarters, the strength of the underlying business and moving past the OTA customer headwind in Corporate Payments. With our actions translating into improved top line performance, we have our sights set on our long-term revenue growth targets of 5% to 10%. And importantly, we're also focused on expanding margin through efficiencies, which will be further supported as volume returns. Adjusted net income per diluted share was $4.59, an increase of 5.5% year-over-year. Excluding the impact of fluctuations in fuel prices and foreign exchange rates, Q3 adjusted EPS grew 7.2%. We remain committed to delivering double-digit long-term adjusted EPS growth. Although the macro backdrop remains dynamic, we're now moving past the headwind from the OTA transition and our strategic investments are already yielding results. We've been laying the foundation for this return to growth, and we are confident that the uptick we showed in Q3, particularly in Corporate Payments, sets us up well as we finish out 2025 and beyond. With that, I'd like to spend a few minutes on our strategy as well as how our businesses work together, the opportunities ahead and the pillars guiding us forward. Our purpose is clear: to simplify the business of running business. By delivering a differentiated value proposition to our customers, we believe we can generate above-market revenue growth, sustainable profitability, robust free cash flow and long-term value for our shareholders. Our strategy comprises 3 strategic pillars. These guide our people, their efforts and how we allocate capital. First, we are amplifying our core by continuing to strengthen our leadership positions and deepen customer loyalty with targeted investments, best-in-class sales execution and operational discipline. Second, we're expanding our reach by extending our platform into adjacent workflows and new use cases, unlocking additional growth vectors while building customer value. Finally, we're accelerating innovation, allowing us to get more productivity out of our investments and delivering operating leverage in our model. Our approach to capital allocation is grounded in our strategy, and we will remain disciplined as we balance investments in growth with a sharp focus on efficiency, free cash flow generation and returns. As we execute our strategy and position WEX for the future, we are leveraging AI to reimagine how we operate and serve our customers. Our use of AI in customer discovery, prototyping, coding, QA, infrastructure management and security has helped drive a 20% increase in product innovation velocity. We're also using AI to harness our proprietary data to make smarter, faster decisions from fraud prevention and credit management to claims processing and customer support. Our use of AI creates direct value for our customers and differentiates our product. In our Benefits segment, AI has reduced claims processing time from days to minutes. In customer service, human in the loop, generative AI is boosting productivity and lowering our cost to serve. In Q3, we introduced AI insights in field service management, pioneering a shift from reports to real-time intelligence and action, helping customers get the answers they need. With AI increasingly embedded across our platforms and operations, we believe it will help us scale the business, accelerate innovation and strengthen WEX's long-term competitive advantage. Let me now move to our portfolio review and outcomes. On our last call, I spoke about the unique strengths of our 3 segments. Each year, we review these segments and update our enterprise strategy as part of our planning process. This year, the Board also conducted a comprehensive portfolio assessment drawing on both internal expertise in 2 independent top-tier global investment banks, Bank of America and JPMorgan. This was a rigorous process guided by our responsibility to be thoughtful stewards of shareholder capital and our commitment to pursue the most value-accretive opportunities. As part of this process, we took a hard look at our portfolio to ensure each business we own meets our criteria for returns, margins and strategic focus. Based on this comprehensive assessment, we have determined that our businesses are stronger together. Collectively, our Mobility, Benefits and Corporate Payments segments give us an exposure to large, growing and operationally complex markets where we believe our scale, payments intelligence and proprietary data provide us with a strong competitive advantage. We also benefit from cross-selling various products, and we can point to more than 200 discrete examples so far this year. Our businesses provide necessary balance supporting financial resilience through different macroeconomic cycles. Importantly, they all share a common backbone, including WEX Bank, a global compliance function, risk and regulatory management, intelligent spend controls, our technology infrastructure and advanced fraud prevention, which creates operating leverage, lowers unit costs and accelerates innovation across segments. We believe each of our segments will contribute meaningfully to our growth and profitability over the long term and that our unified platform will maximize shareholder value. We are also always open to considering alternative approaches to strategy and business configuration that advance this goal, and we'll continue to evaluate opportunities to refine the portfolio. With that, I'd like to outline our 4 foundational competencies that enable us to execute against our strategic pillars and are the engine behind our competitive advantage. They extend across our portfolio, are difficult to replicate and power our customer value proposition. The first core competency is payment intelligence. We integrate payments, proprietary data and banking services to deliver actionable insights that help customers make faster, better informed decisions. This is not easy to do, but WEX excels at managing complexity. For example, in Mobility, the insights we provide enable real-time fleet management, helping customers control spend, optimize routing and improve efficiency across millions of daily transactions. Our second core competency is workflow optimization. WEX has a long history of combining payments and workflow to create differentiated customer value. For example, in Benefits, we offer a complete platform that integrates payments into the broader workflows that employers and employees rely on daily. This is a key differentiator, deepening our role within customers' operations. Our third core competency is scale and infrastructure. We leverage our global scale, proprietary technology and risk and compliance expertise to reduce friction, offer enhanced control and deliver measurable efficiency gains. For example, in Corporate Payments, our global infrastructure enables us to process high volumes of virtual card transactions securely and seamlessly across markets delivering reliability, speed and compliance that sets the industry standard. Finally, our fourth core competency is industry expertise. We have established ourselves as experts within the markets we serve, and we apply our deep industry expertise to our customers' toughest challenges, developing customized solutions that address their needs. With that, I'll shift gears and review our Q3 segment results, beginning with Mobility. Mobility remains our largest segment, representing roughly half of revenue. Its competitive strengths come from our closed-loop network, which directly connects fuel buyers and sellers and from our scale, which allows us to serve the largest and most complex organizations. This is demonstrated by our BP win last quarter. Our data-rich solutions are deeply embedded in our customers' daily operations, delivering functional value and creating long-term stickiness. Our global fraud, credit and compliance capabilities underpin our offerings, benefiting businesses ranging from local contractors to major oil companies. Excluding the benefit from higher fuel prices, Q3 results for the Mobility segment were in line with our expectations. Transaction levels were down slightly from the prior year, consistent with the overall market trends. We continue to operate in a challenging macroeconomic environment with same-store sales in the over-the-road market softening during Q3, while North American mobility same-store sales mirrored trends seen earlier this year. Amid the dynamic macro, we're focused on maintaining our high retention rates and gaining market share while operating efficiently. One market where we see opportunity to expand share is small businesses, which we define as fleets with 25 or fewer vehicles. These businesses have historically relied on general-purpose credit cards, but by using our fuel card, they can save on fuel costs, access discounts, manage fraud and better control their expenses. Small businesses have been a core customer segment since WEX's founding, and we believe this segment of the market has tremendous value potential. Year-to-date, our targeted marketing investments here have resulted in a 12% year-over-year increase in new small business customers. At the same time, we're building on our differentiated offerings to extend our reach and bring in new opportunities, including the BP win we announced last quarter. The conversion of the existing BP portfolio continues to be on track for sometime next year with sales to new customers beginning at the end of this year. We're also broadening our opportunity set in Mobility through innovation. An example of this is the 10-4 by WEX app, which is designed to help small trucking businesses, a large but underserved part of the market. This year, those customers have saved more than $300 per month in fuel costs on average by using our app. We're excited to expand our technological reach through our new partnership with Trucker Path, a leading mobile app used by more than 1 million professional truck drivers, which we announced earlier this week. We're also excited about the trajectory of Payzer acquired in November 2023 in which we recently rebranded as WEX Field Service Management or WEX FSM. Although it took longer than we planned to establish momentum, revenue grew a healthy double digits in Q3, and we remain energized by this opportunity as we deepen our position in this attractive adjacent market. Overall, Mobility continues to generate strong free cash flow and will remain a consistent growth engine for WEX as we drive expanded and new value-added product and service offerings to customers. Turning now to Benefits, which simplifies the complex world of employee benefits administration. For the past decade, the business has grown consistently, now representing approximately 30% of company revenue. Its products and services are deeply embedded in our customers' administration processes, creating strong customer retention and predictable SaaS and custodial revenue streams. Overall, SaaS account growth was 6% in the quarter with HSA accounts on our platform up 7% in Q3, bringing us to more than 8.8 million HSA accounts. This represents more than 20% of all HSA accounts in the country. We're currently in our open enrollment sales cycle and the pipeline remains strong. According to the 2025 Devenir midyear report, WEX retained its position as the fifth largest HSA custodian in the market. Notably, we serve as a technology partner to 7 of the top 10 custodians listed in the report. Over the long term, we will continue to drive volume by elevating awareness of HSAs across the industry, including through leadership and national HSA awareness programs. We remain well positioned for continued growth in the evolving HSA landscape, which offers an expanding TAM. As we discussed last quarter, we see an opportunity in 2026 with new legislation, which will expand HSA eligibility across public health exchanges for the first time in more than a decade. We estimate this could expand the TAM by 3 million to 4 million new accounts and believe we are well positioned to benefit given our unique partner-focused distribution approach. Our strategy and benefits is to continue to outpace market growth by delivering a compelling product portfolio. WEX Bank provides a distinct advantage here, allowing us to generate higher yields on custodial balances, which supports targeted investments in customer relationships and new business opportunities. Finally, let me discuss Corporate Payments, which represents approximately 20% of our revenue and includes 2 major offerings, embedded payments and direct accounts payable solutions. Embedded payments offers high operating leverage with incremental volumes largely falling to the bottom line due to our scalable technology platform and global compliance infrastructure. We're seeing broad-based adoption across industries, including tech companies offering AP automation, health care payments and expense management. Our direct AP solution, which leverages our corporate payments platform is focused on the underserved mid-market and continues to deliver outsized growth with Q3 volumes up more than 20% year-over-year. Customers in industries such as construction, retail, manufacturing and health care choose WEX for our in-house supplier enablement capabilities, which allows us to deliver virtual card adoption with detailed reconciliation data. As we anticipated, Corporate Payments returned to revenue growth in Q3 as underlying market performance has improved, and we have largely lapped the large OTA transition. Our enhanced platform and disciplined investments in sales are resonating in the market, driving a robust pipeline of new customer opportunities. We're now focused on converting that pipeline into spend volume, which will support sustained growth into 2026 and beyond. From a strategic perspective, we're building on our leadership in embedded payments, which is anchored by our travel customers and driven by our industry-leading virtual card issuing engine and expanding into new use cases and markets. At the same time, we're scaling direct AP as a central part of our investment plan, tapping into a large expanding addressable market where we're still in the early innings. Before I hand the call over to Jagtar, yesterday, we announced the appointment of Dave Foss to our Board of Directors effective November 3. This is the result of an extensive search process with the assistance of a leading independent recruiting firm. Dave serves as President of Jack Henry from 2014 to 2022 and Chief Executive Officer from 2016 until his retirement from the role in 2024. In addition, he's a Director at CNO Financial, where he chairs the Governance and Nominating Committee, his experience across financial services and technology, coupled with his tenure as a public company executive and Board Director, will be invaluable as we enter our next phase of profitable growth. We're confident that the expertise and fresh perspective that Dave brings will yield immediate contributions to our Board and company. On behalf of WEX, I want to extend a warm welcome to Dave. Across the business, our teams are executing with discipline, extending our competitive advantages and converting our targeted investments into tangible results. Q3 marked a turning point with acceleration in revenue growth, and we are confident in the opportunities ahead. Our focus remains on delivering sustainable growth, strong margins, attractive returns and robust free cash flow while creating long-term value. With that, I'll turn it over to Jagtar to walk you through our financial performance and updated outlook in more detail. Jagtar?
Jagtar Narula: Thank you, Melissa, and good morning, everyone. As a reminder, in an effort to provide greater transparency into our business and segments, we began publishing a supplemental materials deck this year, which can be accessed on the IR section of our website. Also, comparisons are year-over-year unless otherwise noted. Total revenue in the quarter was $691.8 million, up 3.9% -- the impact of foreign exchange rates and fuel prices decreased revenue growth by 0.5%. Revenue was above the top end of the guidance range we provided last quarter. Adjusted earnings per share was $4.59, an increase of 5.5%, partially offset by a decrease of 1.6% related to lower fuel prices and foreign exchange rates. Adjusted EPS was also above the high end of the guidance range we provided in July. Although fuel prices were lower than last year, they were higher than our guidance assumed, contributing most of the outperformance in addition to some underlying expense benefits. In our Mobility segment, revenue increased 1% despite a drag of 1.4% related to lower fuel prices and foreign exchange rates. Our payment processing rate was 1.33%, an increase of 2 basis points sequentially. The sequential increase in the net interchange rate is due primarily to merchant pricing and mix. In our Benefits segment, total revenue was $198.1 million, which rose 9.2%. SaaS account growth of 6% was consistent with the performance in the first half of this year, contributing the majority of the revenue growth. Custodial investment revenue, which represents the interest we earned on custodial cash balances increased 14.9% to $61.7 million. Earned interest yield increased 15 basis points year-over-year. The Benefits segment continues to capitalize on both the scale we have built and the value derived from our investment portfolio at WEX Bank, which allows us to deliver industry-leading returns on our HSA assets. Finally, in Corporate Payments, revenue of $132.8 million increased 4.7%. Purchase volume in Corporate Payments declined 0.9% on a year-over-year basis, a notable sequential improvement. The decline in volume was more than offset by an increase in the net interchange rate leading to the revenue growth. We have largely lapped the headwind created by the large OTA customer transitioning to a new operating model with us and we will fully lap this impact in Q4. In addition, there was a substantial volume decrease for our legacy non-travel embedded payments customer where we are now earning contractual minimums. Despite the recent volume pressures, the scale of our Corporate Payments segment continues to support a strong margin profile for the business. With that, let me transition to the balance sheet. Our business operates at attractive margins as a result of the scale and competitive advantages that Melissa talked about earlier. WEX is a business that generates strong recurring revenue, which in turn produces reliable free cash flow. This is a strength in all periods, but especially in periods of economic uncertainty and gives us significant capital deployment optionality. In deploying capital, our approach is guided by 2 core principles. First, we are committed to maintaining a strong balance sheet and ensuring we have the right resources to operate effectively under both normal and stressed conditions, which we do by maintaining appropriate leverage. We ended Q3 with a leverage ratio of 3.25x, down from 3.5x at the end of Q1 and within our long-term range of 2.5x to 3.5x. We have historically reduced leverage by about 0.5 turn per year, and we'll continue to focus on debt reduction. Following that, our priority is to strategically invest in our core businesses by targeting investments where we can fortify our competitive positioning, deliver attractive returns and capture growth. After addressing these 2 core priorities, we evaluate deploying our remaining capital towards accretive M&A opportunities, which must meet strict financial and strategic criteria or returning capital to shareholders through share repurchases. Every step of our disciplined capital allocation process is grounded by a clear objective to maximize long-term shareholder value. Now let's move to earnings guidance for the fourth quarter and the full year. In Q4, we expect to generate revenue in the range of $646 million to $666 million. We expect adjusted net income EPS to be between $3.76 and $3.96 per diluted share. For the full year, we expect to report revenue in the range of $2.63 billion to $2.65 billion. We expect adjusted net income EPS to be between $15.76 and $15.96 per diluted share. Compared to the midpoint of the previous ranges, these represent increases of $19 million in revenue and $0.29 in EPS. The increase represents the outperformance in Q3, a continuation of the positive revenue trends and expense savings we have seen over the past 2 quarters and a higher fuel price assumption. Before I conclude my prepared remarks, let me take a moment to share my perspective on the business today. Despite a challenging macro environment, especially in our Mobility segment, combined with the short-term customer transition headwinds in Corporate Payments, our business continues to demonstrate resiliency and we are seeing sequential improvements. This momentum has helped offset headwinds from ongoing softness in certain markets, specifically trucking. As we approach 2026, we remain cognizant of the macro uncertainty, but are encouraged by the building blocks we've established this year. In Corporate Payments, we're excited to move past the customer headwind. In Mobility, where we currently expect the sluggish trends to persist in the near term, we believe our targeted sales and marketing efforts, including the recent BP win, will contribute to improved results in 2026 and beyond. Finally, we continue to win new business and benefits and enter the open enrollment period from a position of strength. While it is too early to forecast account growth for 2026, we expect payment processing revenue and interest income, excluding changes in the rate environment, to again outpace account growth as they have historically. Through strategically investing to amplify our core and expand our reach, we are well positioned to continue to drive growth and further benefit from the eventual turn in the macro environment. In closing, our third quarter results underscore the strength of our diversified model and the discipline of our execution. We remain focused on executing our strategy to deliver results that drive sustainable long-term shareholder value. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Melissa, I appreciate all the commentary at the beginning about the review that you guys did. And I can't say I disagree that the businesses work well together. I'm just curious sort of what the conclusion was with the stock and sort of how to get investors to sort of appreciate how all of those factors come together. Was that part of the analysis?
Melissa Smith: Yes. Thanks for the question. Yes, we talked for the fact that the Board has gone through a strategic review annually. This year, we went even deeper, and we brought in 2 independent investment banks. I talked about that in the call, but both Bank of America and JPMorgan. Part of that work was to really dig in and look at each of our segments and understand the businesses with their view from an independence perspective. I think that the Board conducted this really thoughtfully with discipline, with objectivity. And say, well, look through that, it really the focus came out of continuing to deliver and execute against our strategic plan. We talked about the pillars that we have in our plan, and we're now beyond this period of time where we're lapping the OTA transition, which has had a pretty heavy impact on the stock. So we're excited about how we are growing the business, how we're coming out of the third quarter and how that positions us in the future. And that was really the counsel that we had from the investment banks as well.
Sanjay Sakhrani: Got it. Okay. Great. And then just a follow-up question on Mobility. I think, Melissa, you mentioned over-the-road saw some softening during Q3. Could you just talk a little bit about that and sort of how that sets up relative to your expectations? Because I do think you guys were talking a little bit about a pull forward, but is the deterioration a little bit more than expected? And then just another one on the financing fee rates that kind of went up. Was there a price in there or something else?
Melissa Smith: I'll take the first. So just from a macro perspective in our Mobility business, I'll talk about both the impact to over-the-road and in the rest of the business. And the over-the-road business, which is, as you know, 30% of the business, we saw a pull forward related to the tariffs at the beginning of the year and then some softening in the second and the third quarter. When I say it got worse, it got about 0.5 point worse in the third quarter, so not significant. But what we are seeing within that part of the marketplace, it's been in a rolling recession for a number of the years. Our sales teams have done an amazing job of selling through that, and we continue to do that this year. We're focused on sales. We're focused on retention and think of this as a transient issue that will work its way through eventually. And then with the rest of the business, what we have seen, we believe, relates to the uncertainty that's happened, and it's related to the tariffs where we've seen about negative 4% same-store sales within our local business. That's been pretty consistent in the course of the year. It got maybe a pitch worse in the course of the year. But I would say it's been a bit of a slog. I think to actually use that word, getting through this year. And again, we've done a really strong job of selling through that. We've talked about the incremental investments we've made in marketing. We've got 10% more new accounts that have come through that small business channel this year, which is directly related to those investments. And we are really focused on new customer retention. And again, expect this to be transient. We don't know exactly when it's going to turn. But in our history, we go through these periods of time, and as long as we focus on retaining the customer and building the portfolio, then that works its way through eventually. And then on top of that, we know next year, we've got the conversion of BP that's happening at some point in the year, and that will add between 0.5 to 1 point in revenue in the 12 months after that. So we have a lot of things that we're working on where we feel like we're pulling levers of things that we can affect waiting for the macro to evolve.
Jagtar Narula: And then Sanjay, on your question regarding the financing fee rates. So rates this quarter were pretty comparable to what we've been seeing in the last couple of quarters. It's a big bump when you look at it year-over-year. And there's a couple of reasons for that. So one, we did make some pricing changes last year that went into this year. So that was part of the bump in the rate. And also, I'd remind you that this quarter last year, you'll recall that there was kind of a onetime event that brought down the financing fee number and the rate as a result. So when you look at the year-over-year compare, that looks a little odd. But if you look over the last couple of quarters sequentially, you'll see that we're kind of in line with where we've been.
Operator: Your next question comes from the line of Darrin Peller with Wolfe Research.
Darrin Peller: Can we touch a little more on the trends in Corporate Payments for a minute, just given -- I know we're now kind of lapping, as you said, some of the headwinds we've been dealing with, which is great to see. But in terms of the overall underlying drivers, anything you're seeing that surprised you in either direction around volumes across travel or B2B? And maybe we could just stand by and reiterate again what you see that business doing and performing really over the next 18 months when we think about the opportunity there because it does look like it's someone that should truly reaccelerate as we exit the year again.
Melissa Smith: Yes. Thank you for the question. So if you look at our core payments business, we're excited about hitting this inflection point. It was important to us to return that segment of the business to growth. We've largely lapped the OTA business model transition in the third quarter. So we've largely got that behind us. On top of that, we're seeing really good momentum. A couple of places that we have made investments are extending the product capability across embedded payments. So extending the capability of what we're doing in travel and applying it to other industries, that has gone really well in the marketplace. We're selling -- we're onboarding. It's a slower onboarding cycle. And so it's good and bad because it gives us visibility into next year, but it takes a little bit of time to move those customers on to our portfolio. But we feel really good about how the products are resonating in the marketplace, how they're selling, the customer signings and how they're onboarding. And also in our AP direct product offering, we talked about the fact we had ramped our salespeople there. That has been just a beautiful model where as we've added people, we've actually seen strong production and more than 20% volume growth in this last quarter. So those 2 things give us a lot of confidence as we think about the growth trajectory going forward. About half the business is travel. So we know that could be some of the growth over time. We should be able to grow through that because travel has become a smaller part of the model. But as we think about that segment, we've talked about our long-term range of 5% to 10%, and we're feeling really good about where we are right now.
Darrin Peller: Okay. That's helpful. Maybe just my quick follow-up would be on -- when I think about the Benefit side and the OBBBA and whether that can accelerate benefits in '26, maybe just help us understand your thought process around potentially trying to gain some of those 3 million to 4 million incremental HSA accounts we might see.
Melissa Smith: Yes. We think of it as a really nice long-term tailwind. These are customers or potential customers that are largely getting access through the public exchanges with a little over 7 million people, which we think is about 3 million to 4 million accounts. We have access to those customers largely through our partner channel, which we think of it as a distinct advantage for us because we're going into the marketplace, not just directly, but through financial institutions and TPAs and people who are health insurance companies as well that sit in that portfolio. And so we believe that we will get our fair share of that. It's going to happen over time. We don't think it's all going to happen immediately. And the nice thing about this is there's nothing we have to do. The platform itself is ready. This is more education and onboarding.
Operator: Your next question comes from the line of Mihir Bhatia with Bank of America.
Mihir Bhatia: I wanted to start with maybe the Mobility segment and the trucking backdrop. Melissa, you mentioned it remains quite challenged. At the same time, you are investing in marketing and growing in that segment. So maybe just spend a few minutes just talking about the underwriting, how you're thinking about underwriting, how you're managing that underwriting? Are you tightening, reducing days to pay, things like that? Just trying to understand how you keep credit in check in that segment. And if you have any concerns about maybe bankruptcy rising same-store sales trends don't start improving?
Melissa Smith: Yes. Thanks again. So if you go across that segment, 30% is over-the-road business, which you're largely talking about there. We actually had tightened credit standards a while ago. We've been in this rolling recession for quite some time. And over that period of time, we've spent a lot of time and investment around our risk models. We feel as we've seen the benefit of that work so that as we're making credit decisions, we're making them in an even more informed way. It's a lot of where we had our initial applications of AI within the company. So, so far, we've seen really good performance in our mobility business, even though we've seen that weakness that's happened over the last few years. The asset quality continues to look good as well. So we feel really comfortable about the fact that we're extending the right amount of credit to the right customers. And we've done more work around also introducing new payment options, particularly in our North America Mobility business that allows us to have access to customers on more of a prepaid basis, which is part of why we're seeing some success bringing on smaller businesses. So if you look across this, I would say I don't feel like we're -- that we're changing the credit quality. We're just being thoughtful about where we're adding new customers, and that's largely because of how we've refined our models. The investments that we've made have been in the North American Mobility business, which has a very strong LTV to CAC. We're seeing that come through right now. We've talked about the fact that over the 2 years following the investments, we earned back 4x what we spend in terms of revenue. And so far, that's holding through.
Mihir Bhatia: Okay. And maybe just switching a little bit for a second to just fuel and interest rate sensitivity, Jagtar, maybe you can just comment a little bit on the -- remind us of the fuel price sensitivity of the business, both on the top and bottom line? And just how quickly does that come through? Does the -- you mean we talked about the financing pricing changes earlier in response to Sanjay's question. Does that impact that fuel price sensitivity? And also just the sensitivity of the business to interest rates as interest rates decline over the next year?
Jagtar Narula: Yes. So on the fuel prices, I'd just remind you, we put a supplemental deck beginning of this year, and we update that sensitivity on a quarterly basis. So that's another area you can look for it. Roughly speaking, for fuel prices, that one hasn't changed since the beginning of this year. A $0.10 change per gallon in fuel prices on an annualized basis, up or down would be at $20 million of revenue up or down, and that would translate to about $0.35 of EPS. In terms of speed there, that would be a pretty quick flow-through to both revenue and EPS because that sort of directly affects interchange in finance fees that we earn. And that would flow through both the processing line as well as the finance fee line because our finance fees to some degree, are dependent on the size of the bill, which does fluctuate with fuel prices. On interest rates, that one has moved a little bit, but still within close to the range that we had talked about last quarter. So 100 basis point change in interest rates up or down would move revenue plus or minus $40 million with a $100 million increase increasing revenue $40 million, again, on an annualized basis and a 100 basis point decrease decreasing revenue $40 million on an annualized basis. The difference here is when you get to EPS, it actually flips because of the liabilities in our balance sheet. So $100 million increase in interest rates would decrease EPS by about $0.30 and minus 100 million basis -- 100 basis points on interest rate would actually increase EPS by $0.35.
Operator: Your next question comes from the line of David Koning with Baird.
David Koning: Nice job. A couple of questions on Mobility. One is, I know you had a tougher comp in Q3 '24 or basically a tough comp this quarter because Q3 '24, I think you had a couple of extra days and yet you still accelerated underlying growth. So I guess, a, are you seeing really pretty good underlying momentum in Mobility? And b, was your comment about better growth going forward, do you mean better organic growth in '26 than '25?
Melissa Smith: I'll answer the second part. [ I'm sure ] you can take the first part of that, too. On the second part, yes, from an organic growth perspective next year, I'm going to put aside macro because -- and say we know that we're operating in a difficult macro environment, particularly in our Mobility business right now. And we also know that we are having a very strong sales year this year and overall retention rates look comparable to the prior year. And so all of those things are a positive as you think about rolling into your next year because you get the benefit typically of those sales or these are long-term investments that we're making, and it does take time for that to actually show up in our P&L. So we do think that, that's going to create some momentum as you go into next year.
Jagtar Narula: Dave, I'll address your first question on the comp. So looking at '24 to '25, days fueling was actually pretty comparable. I know when we went back to '24, the '24 to '23 compare had some days, fueling days noise in it. This year, it's actually pretty comparable year-to-year. I'd also kind of remind you what I said, I think it was in response to Sanjay or Darrin's question around we had some onetime remediation last year, a onetime event that impacted the numbers a little bit. And that made it an easier compare this year that added roughly 1 point to 2 of growth WEX fuel.
David Koning: Got you. Yes. That makes sense. And then I guess for my follow-up, you talked a lot about corporate revenues. Obviously, that's hitting a much easier comp. But on a sequential basis, historically, volume has been down sequentially as people don't travel quite as much in Q4, but yield has been up sequentially and revenues have been -- ended up flat sequentially in most historic Q4s. Are we back to that sort of cadence? Is that kind of how to think of it?
Jagtar Narula: Yes. I think we're back to the cadence where volumes will be down because of travel. We will see interchange processing rates up. Part of that is mix and part of that is we typically have revenue recognition when we hit certain thresholds related to schemes with associations, and we'd expect that in the fourth quarter as well. I wouldn't say revenues are flat quarter-over-quarter sequentially. We do typically tend to see some decrease in the Corporate Payments segment from Q3 to Q4.
David Koning: Okay, great. Well, nice job guys.
Operator: Your next question comes from the line of James Faucette with Morgan Stanley.
Michael Infante: It's Michael Infante on for James. I just wanted to ask about your perspective on the implications of Visa's new commercial enhanced data program and how you think about the interchange and data implications associated with that.
Melissa Smith: So great question. As you know, that we actually use both schemes. So in our Mobility business, it's our own proprietary network. With our Mobility business where we've extended our scheme, it's been through Mastercard and then in Corporate Payments, and Benefits, there's a blend of both that are used. From a acceptance standpoint, we think of each of those schemes is there's something that's beneficial about each in the different markets and nuances that we use, and we'll continue to think about that going forward with any new product rollouts that are happening.
Michael Infante: That's helpful. And maybe, Jagtar, just a quick housekeeping one for you on the Benefits SaaS ARPU side. It looks like the year-over-year trend there continues to improve. But how are you thinking about the exit rate for this year and the potential for that line item to inflect positively in '26?
Jagtar Narula: Yes. I would say that ARPU -- so when you do the math, go to the supplemental schedule for modeling and make sure you're backing out interest that's showing up on the account servicing line to look at kind of ARPU. ARPU has been basically flat, I think, quarter-over-quarter. I would expect it to roughly remain the same. It will depended somewhat on mix and what we end up selling during selling season. But from a modeling standpoint, I wouldn't expect significant increases going into '26 at this point.
Operator: Your next question comes from the line of Nate Svensson with Deutsche Bank.
Christopher Svensson: Accelerated trading across the business is very encouraging to see. But I did want to ask again about the end health in the U.S. trucking sector maybe in a little different light. I wanted to know where we're at in terms of the overall capacity reduction across the sector and how you're maybe thinking about the potential impact of the removal of certain CDL holders, which I know has been a big piece of discussion in the media recently.
Melissa Smith: Yes. Well, actually, when you think about what's happened in the over-the-road space, there has been -- there was a huge oversupply that came from the pandemic, and they've been working through that oversupply issue for the last several years. You can still see, if you look at some of the broader indexes like the cash rate and ATA Truck Tonnage, they're still showing year-over-year volume pressure. So to the extent that you're going to see some of the -- some of that supply continue to come out of the marketplace for that reason or honestly, other reasons, I think that the market still needs that to happen to get to more of a normalized rate. We haven't seen any dramatic shift in terms of volume or volume activity. As I said, we went down about 0.5 point in terms of same-store sales from Q2 to Q3. And I think everybody in this marketplace has been wanting this to change and it hoped it would. What happened from a tariff perspective, at least within our portfolio, put a little bit more pressure, not a lot more, but only about 9% of goods that are moved in the United States are coming from outside the United States, but we've seen some softness in quarters, particularly from Canada to the U.S. And so you've got a couple of things that are combined, I think this year. You've got the oversupply issue with some tariff noise added on top of that. So continued reduction in supply, I think, is a benefit to the space.
Christopher Svensson: That's super helpful, Melissa. I appreciate it. I did want to follow up with maybe a 2-parter on Corporate Payments. So -- the first is, I know last quarter, we talked about a large public fintech company in embedded payments that you signed. Just wondering any update on the ramping there, any early learnings or takeaways from that relationship? And then the other question, just on the direct account volume, still strong at 20%, I think I saw, but it did decelerate a little bit from 25% last quarter. I know it's been a big focus area for your investments in your sales force. So just wondering if there's anything going on with macro or underlying trends that might explain the slowdown relative to the increased investments?
Melissa Smith: Sure. So on both of those things, first, the new customer is onboarded. They're in the process of ramping right now. And so a large amount of that was already in the third quarter, but there's a little bit more as it continues to ramp through the end of the year, which we've assumed in our guidance. Relating to your second question was...
Christopher Svensson: Direct...
Melissa Smith: Direct. Yes, actually, the direct business did what we thought it was going to do in this quarter. As we have continued to add salespeople, it's been remarkably consistent with what we've seen for output from that sales organization. And so anything that's happening there is not related to sales activity. We are seeing a little bit of same-store sales softness within that base customers. It's just a few points. But I would say similar trends that we're seeing in some of the mobility customer base. There's just a little bit less spending year-over-year.
Jagtar Narula: And then I would say that we look at cohort by cohort, how customers are ramping and how that volume goes and is it moving like expectations. So to Melissa's point, I think things are going as expected. And there might be some noise quarter-to-quarter, but we're not seeing any deceleration from expectations.
Operator: Your next question comes from the line of Rayna Kumar with Oppenheimer.
Rayna Kumar: Can you provide any color on expectations for adjusted operating margin for the rest of the year? And now assuming a stable macro, should we anticipate margins to expand next year?
Jagtar Narula: Rayna, yes. So by the rest of the year, I mean I'm assuming you mean Q4. So what I'd say is if you look at kind of year-over-year, Q3 this year versus last year, operating margins were down, call it, on the order of 400 basis points. There was a couple of pieces for that. We had kind of a tough credit loss comp compared to last year because last year was a very good credit loss year. And then there's the sales and marketing and product investments that Melissa has talked about. The credit loss piece that compare was probably on the order of 200 basis points of the comp. So I would expect that to improve as we go into Q4. So Q4 is typically a lower operating income margin because of the drop in Corporate Payments in the travel business. But in terms of thinking about the year-over-year comparison, whereas this quarter was kind of a 400 basis point, that 200 basis point credit loss impact should go away. And then...
Rayna Kumar: Yes. And sorry, on '26, if you can comment.
Jagtar Narula: Yes. I mean it's a little too early for me to give a guide in '26. What I'd say is, as Melissa talked about, we feel good about revenue right now. We will have the lapping of some of the investments that we've made, kind of the full year impact of those. So at this point, I would say operating income next year, operating income margins will trend similarly to this year, but we're still budgeting.
Operator: I will now turn the call back over to Melissa Smith for closing remarks.
Melissa Smith: In closing, we're focused on delivering shareholder value. We're executing our strategy and taking actions to deliver accelerated and sustainable profitable growth in the markets we serve. Recognizing the dynamic and challenging macro environment, we've continued to manage expenses while investing strategically to capture future growth and efficiencies. We're encouraged by our Q3 results and look forward to driving momentum as we close out 2025 and turn the page to 2026. Thank you for your interest in WEX.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.